Operator: Good afternoon, and welcome to the Vinci Partners Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this call will be recorded. I would now like to turn the conference over to Anna Castro, Investor Relations Manager. Please go ahead, Anna.
Anna Castro: Thank you, and good afternoon, everyone. Joining today are Alessandro Horta, Chief Executive Officer; Bruno Zaremba, Head of Private Equity and Investor Relations; and Sergio Passos, Chief Financial Officer. Earlier today, we issued a press release, slide presentation and our financial statements for the quarter, which are available on our website at ir.vincipartners.com. I'd like to remind you that today's call may include forward-looking statements, which are uncertain and outside of the firm's control and may differ from actual results materially. We do not undertake any duty to update these statements. For a discussion of some of the risks that could affect results, please see the Risk Factors section of our 20-F.  We will also refer to certain non-GAAP measures, and you'll find reconciliations in the release. Also note that nothing on this call constitutes an offer to sell or solicitation of an offer to purchase an interest in any Vinci Partners Fund. With that, I'll turn the call over to Alessandro.
Alessandro Horta: Thank you, Anna. Would afternoon, and thank you all for joining our call. Vinci Partners announced today remarkable results for the third quarter of 2021. Fee-related earnings reached BRL63.1 million, an increase of 74% year-over-year, a continued progress in FRE results. FRE margin reached 53.5% over 300 basis points higher than 2020 full year's margin. Distributable earnings totaled BRL61.7 million or BRL1.09 per common share, up 137% year-over-year.  We ended the quarter with BRL58 billion in AUM with private market strategies and IP&S accounting for almost BRL3 billion in net inflows in the quarter. These results build upon an amazing first half of 2021 and showcase our long term growth trajectory.  Shifting to dividend distribution, from this quarter on, we will start distributing quarterly dividends. For the third quarter, the company declared a dividend of BRL0.16 on the dollar. That combine it with share repurchase represented 100% of distributable earnings. Our business model is extremely capital efficient, which enable us to deliver strong organic growth, while still paying out a relevant portion of our cash earnings to our shareholders.  All these great results are a consequence of what we believe to be the key attribute of our business model and the principal message of our call, which is resilience. We are delivering outstanding results while facing some quite volatile market conditions in Brazil. And one of the main attributes that make Vinci so resilient is diversification. We have built one of the most diversified and complete platforms for alternative investments in Brazil, enabling us not to only go through, but to expand our business even during more challenging macro scenarios.  As an example, from 2014 to 2016, Brazilian GDP dropped by 7% and Vinci grew its AUM by 10%. And this was in a time when interest rates were in the low teens. We believe that the core strength of Vinci remain unchanged and we allow the business to thrive, even in periods of heightened market volatility. This core strength include our AUM and revenues are well-diversified within our seven different asset management strategies, in addition to our financial advisor business.  Our proprietary funding base relies on five different groups of investors from retail to institution. Approximately 50% of this capital carries formal long term lockup. We have a leading and extremely well recognized private markets vehicle  and at last one of a kind IP&S segment that differentiate Vinci, and has been a major source of growth inside the firm this past year. On the other hand, the current scenario has a short term impact on fundraising for liquid strategies, with volatility impact a more pro-cyclical investor type. In addition, our public market vehicles also present additional challenges going back to market in such condition. Nonetheless, we raised over BRL350 million this quarter for one of our REITs VI SC 11 through a pioneer pay in kind all-stock transaction in the REIT market. This will pave the way for additional transactions using the same structure, which allow us to grow AUM in our listed business even when primary issuance is temporarily more challenging.  Some parts of the business should actually benefit from the current market scenario. First, our investment income as we currently carry an asset-sensitive balance sheet. Vinci currently carries approximately BRL1.5 billion in cash with over 85% exposure to fixed income products. Therefore financial income is set to become a relevant driver to distributable earnings in the mid to long term with the rise in interest rates, until proceeds from the IPO gradually shift from cash allocation into private market funds GP commitments.  We are also very excited for prospects in private credit fundraising. The team is in the process of putting out a new listed product and we expect significant demand for credit products going forward. We believe this to be a great opportunity in the marketplace with traditional credit venues to hold the most of the market share in credit in the country.  Due to our diversified platform, we can mitigate risks by not being too concentrated in a single asset class. We benefit from the growth tailwinds of at least one of our segments as we have seen this year with IP&S private market funds and the advisory business. Our management team remains confident that we will continue to grow our platform and generate attractive results for our shareholders.  Moving on from this quarter financial results, I'd like to share with you two exciting news for Vinci. First, we are proud to announce that Vinci Partners is the first Brazilian asset manager to receive the Woman on Board Seal. Woman on Board is an independent initiative that seeks to recognize value and publicize the presence of woman on Boards of Directors or Corporate Advisory Boards.  As we talked about in our last earnings call, the independent part of our Board of Directors is composed by four independent members out of a total of eight seats, with two of them being women since we appointed Ms. Sonia Favaretto to our Board in August 2021. We are extremely active on our ESG commitment and have installed an ESG Committee reporting to the Board of Directors with Ms. Favaretto as its Chairperson. Finally, we are thrilled to share with you that official launch of Vinci's first ever marketing campaign built on the pillar reputation is the best investment. The project reinforces some of our main values, transparency, solidity, ethics and consistency, which together build up our most valuable asset, our reputation. The campaign has as protagonists, two Brazilian personalities that have a parallel with the Vince values, the singer Maria Bethânia, who has a consistent and successful trajectory, and the equestrian athlete, Olympic and world champion, Rodrigo Pessoa.  In addition, we have also modernized our brand and visual identity in line with this new moment of growth, always in the best Vinci style. The campaign's content and advertising has been launched in all major advertising outlets in Brazil. We are very encouraged by the feedback of the project so far and expect it to consolidate Vinci as a reference for alternative investments in Brazil.  I'd like to thank you all for the continuous support and interest in Vinci Partners. And with that, I will turn it over to Bruno to go over our financial results for the quarter.
Bruno Zaremba: Thank you Alessandro, and good afternoon everyone. Starting on slide 9, we go over AUM growth for the quarter and year-to-date. We ended the third quarter with BRL58 billion in AUM, driven by strong fundraising of BRL2.6 billion in the quarter. Our private market strategies raised approximately BRL600 million of long term commitments with highlights to our real estate and infrastructure strategies.  In real estate, our shopping mall REITs VISC, raised BRL364 million through a pay in time stock transaction as Alessandro mentioned before. In infrastructure, we carried out the second closing of VIAS, our water and sewage strategy. This fund has raised so far BRL384 million. We launched a new strategy within our IP&S business called Vinci Strategic Partners, or VSP. The fund is focused on private markets allocation, and raised BRL61 million in this first round of funding. We expect to continue fundraising for this strategy throughout 2022.  Our IP&S business is currently composed mostly of liquid allocations. With VSP, we're adding a new capability within the firm, which we believe opens a highly relevant addressable market for us, where very few players have the track record, knowledge and experience as Vinci does. Additionally, we have BRL2 billion in net inflows during the quarter, most of it coming from IP&S exclusive mandates with BRL1.9 billion raised in the quarter, while fundraising for credit funds accounted for BRL223 million. AUM was impacted by negative BRL1.6 billion from funds depreciation coming mostly from public equities following the 12% decline in the Ibovespa Index in the third quarter.  Moving on to slide 10, we can see that Vinci continues to display solid trends in AUM growth against the previous year. AUM grew 19% again against the same year ago period, as we continued to expand our platform by raising new funds and creating new strategies and investment opportunities. Long term AUM with at least five years of lockup represents roughly 50% of total AUM. Perpetual capital almost doubled in just one year, primarily due to success in our lease and fund strategies, and currently represents 25% of long term AUM.  Furthermore, our AUM remains broadly diversified by duration, asset class and distribution channel, as shown on slide 11. 43% of total revenue so far this year were sourced from private market strategies with management fees typically based on long term capital commitments, thereby mitigating redemption and mark to market risk.  In terms of distribution, local and offshore institutional clients account for about 60% of our AUM, with the remaining 40% well balanced across high net worth individuals, and our high growing retail dedicated distribution channels, allocators and distributors and public markets vehicles.  We reached BRL36 billion in performance eligible AUM as you can see in slide 12. This quarter aside from IP&S mandates, we generated performance primarily through funds with no high watermark, such as our sovereign wealth mandate in public equities, given the overall decline in local markets during the quarter.  On slide 13, we go through our fee-related revenues composed of Management and Advisory fees. Management and Advisory fees total BRL118 million in the quarter, representing an increase of 64% year-over-year. Management fees were up 30% year-over-year, driven by our growth in fee earning AUM across private market funds and IP&S. Financial Advisory contributed with revenues of BRL25 million in the quarter, adding up to BRL47 million in the year-to-date. Advisory fees are up 105% when compared to last year's three first quarters. This has been a very strong year for financial Advisory and the group has driven important upside to our results due to a much stronger deal activity in 2021. Our Advisory team has had an exceptional year, and we believe several of the recent close mandates represent an expansion of the team's core capabilities. An example is advisory service to early stage and venture capital type companies, which positions as well in a growing market in Brazil.  Turning to slide 14, we go over operating expenses for the quarter. Total operating expenses were up 57% year-over-year and 49% on a comparable basis to 2020 expenses pre-IPO when we removed BRL2.9 million in costs related to being a public company. These costs includes the change in the company's compensation structure, hiring for Board members and support teams in accounting and shareholder relations, and some third party services such as NASDAQ listing fees and others.  Additionally, during this quarter, we had BRL2.2 million in expenses related to the company's new branding project. As we have been mentioning in the last few calls, we were in the process of launching a new branding project targeting domestic investors looking to raise brand awareness. This resulted in Vinci's first marketing campaign, which has been officially launched in Brazil in all major media outlets as Alessandro mentioned. We're extremely satisfied with the campaign's impact thus far, and look forward to strengthening our brand's recognition as the leading alternative asset management brand in Brazil.  Despite the new listed company costs and the branding project, expenses are growing at a slower pace than our revenues, which translates into FRE margin expansion. On slide 15, we present our fee-related earnings. FRE was BRL63.1 million or BRL1.12 per share, representing an outstanding increase of 74% year-over-year. Our FRE continues to be the core indicator of our business, as management fees continue to grow alongside our strong fundraising. In the year-to-date FRE was BRL168.5 million, an increase of 48% year-over-year.  In the FRE bridge chart we present the breakdowns of our fee-related revenues and expenses. Comparable FRE margin would have been 58%, 5 percentage points higher than our reported FRE margin for this quarter of 53% and 8 percentage points higher than FRE margin for the third quarter of 2020. We believe this information is interesting to show the operating leverage of the platform in a year of strong AUM growth.  Both our new public company costs and the one time strategic branding effort have represented headwinds for stronger margin gains this year, although we have been able to significantly grow FRE margin in 2021 versus the last year despite this effect, considering the positive trends in AUM growth so far combined with higher fees coming from advisory.  Next in slide 16, PRE was BRL3.8 million in the quarter, up 192% year-over-year. This increase was primarily driven by higher performance fees contributions from IP&S international mandates, which were realized this quarter. We also had performance fees coming from our sovereign wealth mandates in public equity that charge performance based on pure Alpha generation.  Our international mandates and IP&S have been a major source of upside in performance fees in the year-to-date, representing 50% of all performance revenue generated by the company the last three quarters. We believe this business line has great potential to grow not only in terms of AUM, but as a source of future performance fees, in addition to our domestic IP&S business, our liquid and private market strategies. In the year-to-date PRE pure totaled BRL21.3 million, up 83% year-over-year.  Shifting to slide 17, we go over our realized GP investment and financial income for the quarter. We had BRL1.7 million in realized income this quarter coming from gains from our proprietary GP commitments in private market funds and our cash allocators in our liquid fund portfolio. The liquid fund's portfolio underperformed the CDI quarterly return in the third quarter by 1.1 percentage points, a consequence of the extremely volatile markets and widening of the interest rate curve in Brazil. The portfolio's exposure to fixed rate bonds at about 35% of total allocations suffered negative mark to market effects as interest rates began their rising cycle in Brazil. Despite this impact, the portfolio outperformed the IMA-B Index by 1.7 percentage points as most of it today is invested in floating rate bonds. Even as we face short term impacts in our fixed bond portfolio from the widening interest rate curve, we expect financial income to benefit from the recent increasing rates as most of our cash allocation, or about 85% of the total are exposed to fixed income products. Therefore, once the interest curve settles after this initial widening, we should start earning bigger interest on our cash balance.  Turning to slide 18, distributable earnings were BRL61.7 million the quarter or BRL1.09 per share up 137% year-over-year. This exceptional result was boosted by the growth in management and advisory fees, combined with realized performance fees coming from international IP&S funds in the quarter. In the year-to-date distributable earnings totaled BRL163.7 million or BRL2.89 per share, up almost 90% year-over-year. We are also expanding our DE margin significantly, reaching 47% at the end of the quarter up 12 percentage points year-over-year.  Finally, in slide 19, we show our cash and investment balance. We finished this quarter, the third quarter of 2021 with a total of BRL1.47 billion in cash and net investments or BRL25.94 per share. Today, our cash and investment balances are comprised primarily by fixed income and liquid funds and will gradually be shifted into private market GP fund investments as capital commitments are called into the coming years.  In the third quarter, we committed BRL36.1 million to our private market funds with highlights to new credit fund VCS, which is in the early stages of fundraising and to VSP, our new strategy for private markets allocation in IP&S. Total capital called during the quarter reached almost BRL40 million coming primarily from VCS in credits and new strategies in infra and real estate VIAS and VFDL.  So far the company has committed BRL302 million into private market funds, with about half of that capital having been called by the fund. For more detail, please see slide 32 of this presentation.  With that, I'll turn it over to Sergio to go through our segments. 
Sergio Passos : Thank you, Bruno. Turning to our segment highlights, as you can see in slide 21, the strength of our business, as Alessandro stated in his prepared remarks relies on the platform's diversification. 47% of our FRE in the year-to-date is coming from our private market strategies followed by Liquid Strategies with 21%, IP&S with 17% and financial advisory contributing with 15%. This same level of diversification is reflected in our segments distributable earnings. Except for IP&S, that increased to 23% of segment fees, with its contribution in performance in fees this year.  Moving on to each of the segments starting with our private market strategy on slide 22. FRE in the third quarter was up 7% year-over-year, following strong growth in fee earning AUM. Total AUM grew 16% year-over-year and fee earning AUM grew by 19% in the same period, highlighting important fund raises across our 40 strategies within private markets, such as the final closing for VIR IV, follow-on offerings in niche products across real estate and infra and the launch of new strategies like VFDL and VIAS. Our deployment capabilities remain extremely strong in our private market strategies. Our flagship strategy in private equity VCP III, recently announced its fifth investment with the acquisition of Farmax, a leading Brazilian cosmetic platform, resulting in a 71% allocation of the fund's commitment. The fund is expected to close its sixth transaction soon.  In addition VCP III has formally passed its successor fund allocation threshold, which means we are in a position to come back to market with VCP IV. VIR IV also closed an acquisition recently, which we announced through press release last week, an investment in Verdfrut, a Brazilian company focused on fruits and vegetable markets in the Northeast region. This transaction marks the fourth investment for VIR IV, resulting in a 33.5% broad allocation of its capital commitments.  Our closed and private market funds continue to deliver outstanding returns. VCP III, its current market at a 51% gross IRR in reais and 36% gross IRR in dollars. FIP Transmissão in infrastructure is marked as a gross IRR of 78.5% in reais and almost 60% in dollars.  Turning to slide 23, liquid strategies FRE was up 60% year-over-year with a strong increase in management fee revenues with the end of the revenue sharing agreement with GAS Investimentos by late 2020, which is the driver behind the expansion in average management fee. Performance related revenues were down 41% year-over-year due to lower contribution from performance fees, since most of our liquid funds carry a high watermark benchmark and with market going down are not able to charge performance fees.  The only exception is our Sovereign Wealth mandate, which was the main contributor to performance revenues in the quarter. AUM in fee earning AUM was down 17% year-over-year following significant market depreciation in the quarter.  Moving on to our IP&S business on slide 24, following exceptional growth in fee earned AUM of 59% year-over-year, FRE was up 75% year-over-year. PRE posted an even a bigger jump, up 346% year-over-year, driving by very strong performance in our international separate mandates that was realized this quarter.  Finally, in slides 25 our FRE for financial advisory totaled BRL15.2 million in the third quarter. In the year-to-date, advisory contributed to the company's FRE with BRL25 million, an increase of 95% year-over-year, a consequence of the much higher deal activity in 2021.  As you go through our segments, it becomes evident that FRE in distributable earnings momentum is happening across all our business segments, despite short term market volatility. We believe the broad platform we have at Vince, put us in a great position to continue with the positive momentum despite the recent market volatility in the country.  Once again, we do like to thank you for joining our call and your interest in our company. With said I would like to open the call for questions. Operator?
Operator:  Our first question comes from the line of Ricardo Buchpiguel  from BTG. Your question please.
Unidentified Analyst: Good afternoon, everyone and congrats on the good results. I've only one question. We saw good resilience in terms of AUM and despite of the market conditions and the worse macro environment, and what maybe how by getting flows and fund raising, right, also potentialized, by the diversification of AUM. With that in mind and considering the further deterioration of the macro scenario you could see in the coming quarters, how can we expect his behavior for AUM growth fundraising ahead? And also, if you could comment a little bit more about how you're seeing investors' appetite for new funds in private markets and other more riskier type of vehicles?
Alessandro Horta: Thank you. Okay, thank you for the question, I will start answering you. It's Alessandro. And then if Bruno or Sergio would like to complement also, I'll let them jump in, if necessary. So as you saw, we have been able to -- of course, we suffered in terms of market to market, especially on the liquids side of the business, but we have been able to compensate that with the inflow that capped the average that we saw, during this year of around BRL 1 billion a month of net new money. We continue to see a positive market for some of our strategies, especially as we mentioned IP&S, credit and some of our private market strategies. On IP&S, it's clear that the trend that we saw so far, while for us, winning mandates for a more complete asset allocation, both locally and internationally, it still with some momentum.  We saw a pickup of interest in our private credit products. And this is a consequence of course of assets migrating for more like fixed income type of assets. And finally, we have been able to raise money in our private market strategies in very specific strategy, infra or even private equity, but specifically, also creating new fronts to raise money in listed vehicles like we did in real estate this quarter, this last quarter with transactions where we acquire assets, issuing shares of the fund without accessing the market that was of course with this volatility not so easy.  Having said that, of course, especially from the public equities and hedge funds, we see a more challenging environment, not just for our products, that is posting interesting performance, especially in public equities in terms of our peer group, but because the overall market as we saw, there is overall redemption of assets from these asset classes. And when we look for them lower  numbers and etc. We are not feeling that, but due to the probably more sharp challenging market. But we intend to compensate that with IP&S, private credit and some specific fundraisings in our private market strategies.  Bruno do you want to add on top of that?
Bruno Zaremba : Yeah, just so to complement the answer of Alessandro, this is Bruno, we are in a position in the private market side where several of our funds are fully invested. So we have already announced that our REITs and the liquid infrastructure fund, they're all fully invested. On top of that, we recently announced another signing in our flagship private equity funds, Farmax. And we expect the sixth transaction to also be added to that fund quite soon. So that would push the fund as well to close to a fully vested status.  So we have a position today, where specifically we're going to be looking to 2022 which will have the potential of being a heavy year for private market fundraising in big strategies for us, right? So VCP, the REITs, the infrastructure listed vehicle, we are rolling out a new Climate Change Fund in infrastructure as well. There are several strategies that are coming back and the other ones that Alessandro already mentioned.  So we do have initiatives that are lined up for 2022 that we will work very hard to be able to compensate temporarily weaker environment for the liquid side of the business.
Unidentified Analyst: Makes sense? Thank you very much.
Operator: Thank you.  And this does conclude the question and answer session of today's program. I'd like to hand the program back to Alessandra Horta for any further remarks. We just got a question. Would you like to take it?
Alessandro Horta: Yes, of course. Yes.
Operator: Yes. Our next question comes from Gail from UBS. Your question please. You may have your phone on mute.
Unidentified Analyst: Hello, everyone. Are you listening now? 
Operator: Yes. 
Unidentified Analyst: Okay, great. Thank you very much. Thank you, everyone, for taking my question. Just have a quick one, on the management fee rates. So we see that the net management fees reduced quite. So I just would like to have more details on strength and in terms of management fee rates, which saw a reduction, especially in IP&S. So just would like to get a sense from you, what can we expect going forwards best, specifically in the IP&S? And differently still on the rates, if the scenarios with higher interest rates could enable you to have like higher net management fees across strategies and going forward? Thank you. 
Alessandro Horta: Thank you for the question. I think the rates, regarding IP&S, what happened is that what we in a mandate, normally, we start allocating this money over time. So this starts with more like fixed income, when we receive the mandate are very liquid assets. And we start to allocate over time. And there is a composition of our fees that we can allocate to a certain limit in our own products that normally carries a high interest rates inside on a fund structure, for example. And again, allocating one of our products in one of our divisions, is inside IP&S.  So what happened is that the average management fee rate go start going up over time. So since we had been growing that during this time, we start in a lower fee bracket, and start growing over time. So when we grow a  normally we reduce a little bit the fee bracket and then start recovering that over time. So this is the question regarding management fee rates regarding IP&S.  To your question regarding interest rates going up, and that how that could interfere with the management fee rate. I believe that, that of course, takes out some pressure over reduction in interest rates, even though we were not feeling that. And there is some -- especially in IP&S, that was a very good point of yours, where we can charge marginally higher rates. And not also this is true for private credit where also that relates with high interest rates. So we can eventually have higher management fee rates. I don't know if Bruno or Sergio would like to complement.
Bruno Zaremba : No, just to complement Alessandro, that's the average fee rates are numbers that we monitor all the time. So we see very stable environment across the verticals. The only relevant change whether the change that we saw in the liquids part of the business with the change in the association with GAS last year that created a more significant jump up in the average fee rate for the liquid side. But other than that the trends in management fees have really been very stable. Of course, the needs of the business changed a little bit this year with IP&S growing very, very strongly. But rather than mix this impact on the equity side with the GAS Investimentos dissolving the JV, the dissolving of that JV, the other trends are very stable. 
Unidentified Analyst: Okay, good. Thank you very much.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Alessandro Horta for any further remarks.
Alessandro Horta: Thank you very much for your continued support, as I said and the interest in our company. So thank you for the attendance and all the support and see you very soon. Any question that you have you may address to our Investor Relations Group. Thank you.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.